Operator: Greetings, ladies and gentlemen, and welcome to the Reliance Steel & Aluminum Company's Second Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] It is now my pleasure to introduce your host, Ms. Brenda Miyamoto. Thank you. You may begin.
Brenda Miyamoto: Thank you, operator. Good morning and thanks to all of you for joining our conference call to discuss our second quarter 2020 financial results. I'm joined by Jim Hoffman, our President and CEO and Karla Lewis, our Senior Executive Vice President and CFO. Bill Sales, our Executive Vice President of Operations, will also be available during the question-and-answer portion of this call. A recording of this call will be posted on the Investors section of our website at investor.rsac.com. The press release and the information on this call may contain certain forward-looking statements which are based on a number of assumptions that are subject to change and involve known and unknown risks, uncertainties or other factors, including the impacts of the COVID-19 pandemic and related economic conditions on our future operations, which may not be under the company's control, which may cause the actual results, performance or achievement of the company to be materially different from the results, performance, or other expectations implied by these forward-looking statements. These factors include, but are not limited to, those factors disclosed in the company's Annual Report on Form 10-K for the year ended December 31, 2019 and as updated in the company's quarterly report on Form 10-Q for the quarter ended March 31, 2020 under the caption Risk Factors, disclosure in our press release this morning and other reports filed with the Securities and Exchange Commission. The press release and the information on this call speak only as of today's date and the company disclaims any duty to update the information provided therein and herein. I will now turn the call over to Jim Hoffman, President and CEO of Reliance.
James Hoffman: Thanks, Brenda. Good morning, everyone and thank you all for joining us today to discuss our second quarter 2020 financial results. The strength and resiliency of our business model produced solid results during an extraordinary and extremely challenging quarter. Because we support many customers deemed essential businesses, our tons sold declined only 17.5% compared to the first quarter of 2020. We maintained a strong gross profit margin of 30.4% on net sales of $2.02 billion, which combined with reduced operating expenses, resulted in pre-tax income of $102 million and earnings per diluted share of $1.24. We adjusted our working capital in response to reduced activity levels and generated cash flow from operations of $475.7 million. At the outset, I'd like to sincerely thank each and every one of my Reliance colleagues for their flexibility and hard work in a truly extraordinary environment. We are the best of what we do because of you and your effort in this quarter proves it. Our managers in the field did an exceptional job navigating a highly volatile quarter while remaining focused on employee health and safety, including implementing enhanced practices to mitigate COVID-19. We remain dedicated to keeping our employees, customers, suppliers and communities safe, while providing exceptional customer service across our diversified customer base. The combined efforts of all of our employees, including adherence to our new health and safety protocols by our frontline employees resulted in improved safety performance during the quarter and allowed us to continue supporting our valued customers through these extraordinary times. I'd also like to highlight the strength of our gross profit margin during the quarter, which once again exceeded our estimated sustainable range of 28% to 30%. Our strong gross profit margin is the direct result of the exceptional execution of our managers in the field. Our local managers continued to leverage the significant investments we've made in recent years to expand our value-added processing capabilities to focus on higher margin business and appropriately priced the value we provide our customers by delivering the highest quality products and services when needed. Now, let's turn to a more detailed discussion of our second quarter performance drivers. As mentioned, our shipments decreased 17.5% compared to the first quarter of 2020 due to decreased demand in nearly all of our end markets as a result of customer shutdowns and project delays attributable to COVID-19. Metal pricing was also better than we anticipated with our average selling price per ton sold down only 3.5% compared to the first quarter of 2020 driven by declines in pricing across the majority of the commodities we sell. We reacted quickly to rapidly changing business conditions and reduced our second quarter SG&A expenses by 16.1% compared to the first quarter of 2020. Consistent with our resilient model and actions taken in prior downturns, we reduced expenses by addressing variable costs that fluctuate with shipment levels. As about 65% of our SG&A expenses are people related, we reduced our workforce through temporary layoffs and permanent reductions in force impacting a total of approximately 2,100 employees by mid-July. The majority of these actions are implemented in late March and early April, an immediate response to significant declines in demand. Fortunately, we have now recalled approximately 900 or over 40% of our impacted employees as certain of our businesses have recovered. Most notably, our toll processing operations servicing the auto industry. Our decentralized structure allows us to react quickly to market conditions on a local -- location by location basis. As we move through the second quarter, our daily shipment levels began to stabilize at levels, which were down about 16% from the first quarter of 2020. If we see further changes in shipment activities, we will take additional action to right-size our workforce. In regard to the market conditions in our key end markets, demand in non-residential construction, our largest end market, softened during the second quarter as shelter-in-place orders resulted in the deferral of numerous projects. However, as restrictions began to lift across the country in May, we experienced an increase in activity as customers focus on completing projects that had previously been put on hold. Quoting activity remained strong for projects related to schools, data centers and warehouse distribution. We have also seen an increase in certain infrastructure project, such as bridges. As such, we remain cautiously optimistic. The demand for non-residential construction activity will continue to improve in the second half of 2020 based on healthy backlogs and positive customer sentiment. Demand for the toll processing services we provide the automotive market fell sharply in the second quarter, following the mid-March closure of many automotive OEMs and steel and aluminum mills due to COVID-19. This resulted in significantly reduced processing volumes at our toll processing operations in both the US and Mexico. We responded with significant reductions to our workforce at our toll processing operations of almost 50% by the end of the first quarter. As automotive OEMs began to reopen and ramp up production in early June, we were very pleased to quickly bring back many of our highly skilled employees back to work. As of today, the majority of our furloughed employees servicing automotive end markets have returned to work on improved activity levels. Importantly, our toll processing operations support many light truck and SUV programs that are experiencing a strong recovery. We continue to focus on growth and innovation and toll processing including expansion of our toll processing operations to support increased future demand. Demand in heavy industry, both agriculture and construction equivalent, also declined in the second quarter as a result of reduced production schedules and customer shutdowns related to COVID-19. Based on positive feedback from our diverse range of industrial customers, we are cautiously optimistic our businesses servicing the broad industrial markets should begin to recover from current levels in the second half of 2020. The semiconductor market remained a bright spot in the second quarter as demand continued to improve steadily compared to the first quarter of 2020. Our outlook remains positive for both the OEM and project-based portion of this market across the various geographies that we service. Turning to aerospace, demand in the defense market remained fairly stable at solid levels. However, commercial aerospace demand declined considerably as a direct result of the reduced travel due to COVID-19. In response to reduced commercial airplane build rates, we made significant workforce reduction and closed two of our smaller international locations supporting the commercial aerospace market. We anticipate commercial aerospace demand to soften further in the third quarter and we will take additional cost reduction actions, if and when necessary, to ensure the continued long-term profitability of these businesses. Our long-term outlook for commercial aerospace remains uncertain at this time. Finally, demand in energy, which is mainly oil and natural gas, remains under significant pressure for the second quarter marking the lowest level of activity we've seen in this market in the past 25 years. In response to these conditions, we've continued to take proactive cost reduction measures including additional headcount reductions and the closure of three of our energy-focused businesses in the first quarter of 2020. As a result of these actions, we believe our remaining businesses servicing the energy sector are well-positioned to support our future recovery in energy. Although our outlook for nearly all of our end markets remains challenging and uncertain, we believe our resilient business model and diverse end markets, products and geographies, along with our decentralized operating structure will continue to serve us well through the recovery that will follow these extraordinary times. We believe customers realized the increased value in Reliance's model during challenging markets as they confidently rely on us to do more for them, often in smaller sizes or on more frequent basis. Turning to capital allocation; even in this current environment, our long-term strategy of appropriately balancing growth and stockholder return for our orders has not changed. Since we sell into cyclical markets impacted by pricing and demand volatility, we believe that it is critically important to maintain a flexible and opportunistic capital allocation strategy. Our operations continue to generate cash as a result of our counter-cyclical cash flow characteristics of our business model. We also continue to right-size our inventory to reflect current demand levels through reduced buying activity as well as cross-selling inventory within our expansive Reliance network of service centers. Our current 2020 capital expenditure budget of $190 million will be utilized to fund essential needs in certain strategic projects to support our customers through the addition of innovative equipment and advanced technologies to expand and strengthen our value-added processing capabilities and to maintain our facilities and equipment to meet our stringent quality and safety standards. As for M&A, we have seen an increase in the number of potential acquisition opportunities in the market compared to the first quarter, but we remain selective and highly disciplined in our approach. We continue to look for targets that meet our strict criteria of profitability, high quality businesses, strong management teams and superior customer service. Acquisitions must also complement our product and end market diversification strategy and be immediately accretive to our earnings. We are pleased to continue delivering value to our stockholders through the payment of regular quarterly dividend as we have done for 61 consecutive years. We've increased our dividend 27 times since our 1994 IPO, including the most recent increase of 13.6% in the first quarter 2020. We have never suspended or reduced our quarterly dividend. Although we did not repurchase any shares in the second quarter, we did repurchase $300 million of our common stock in the first quarter of 2020. In summary, I would once again like to thank each and every one of my colleagues in the Reliance family of companies for their perseverance, hard work and flexibility, as well as their steadfast commitment to health and safety, as this dedication to health and safety, combined with the solid execution of our tried and true model of focusing on higher margin business and value-added processing that empowers us to operate our business profitably through these unprecedented times. Our solid second quarter results demonstrate the strength and resiliency of our business model and our ability to successfully operate in all environments. In the second quarter, our decentralized model provided us with the flexibility to immediately reduce and subsequently ramp up individual operations quickly in response to the rapid changes in demand trends and to restructure other businesses that were more severely impacted to ensure long-term profitability. This flexibility, coupled with our strong balance sheet and cash flow, enables us to remain profitable, despite extraordinary market challenges, preserve jobs for the significant majority of our employees and provide enhanced solutions to support our customers' changing and growing needs. Thank you for your time and attention today. I will now turn the call over to Karla to review our second quarter 2020 financial results in more detail. Karla?
Karla Lewis: Thanks, Jim and good morning, everyone. Net sales of $2.02 billion for the second quarter of 2020 decreased 30% from the second quarter of 2019 with our tons sold down 19.6% and our average selling price down 11.7%. Compared to the first quarter of 2020, net sales decreased 21.5% with our tons sold down 17.5% and our average selling price per ton sold down 3.5%. I'll now give a bit more color on our shipment trends during the quarter. Our tons sold for our service center businesses, which excludes our toll processing operations, experienced a slight decrease near the end of March. However, in April, our tons shipped declined more significantly down 20% compared to our January and February average tons shipped per day due to business closures across the country. We saw a slight improvement in May as businesses began to reopen. June daily shipments were consistent with May at levels approximately 16% lower than January and February shipment levels. Our toll processing operations followed a slightly different path as approximately 60% of our tolling volume is processed for the automotive market. Our tolling tons per day declined 15% in March compared to January and February and fell a further 52% in April, before bottoming in May at 62% below January and February levels. Our tolling tons per day in June recovered to about 66% of our January and February levels and have continued to improve in July. Our gross profit margin for the second quarter of 2020 was strong at 30.4% and included $5 million of LIFO income. On a non-GAAP FIFO basis which is the best measure of our day-to-day operations. Our gross profit margin of 30.2% increased 140 basis points from 28.8% in the second quarter of 2019. This is a direct result of the outstanding performance by our managers in the field, who, despite the challenging circumstances, continued to maintain pricing discipline by focusing on higher margin orders. Importantly, our gross profit margin improved despite the significant reduction in our tolling volumes I just discussed. Our toll processing businesses generally operate at a higher gross profit margin than our service center businesses, so increasing our gross profit margin despite significantly reduced tolling volume truly highlights the strength of our gross profit margin and business model. We recorded LIFO income of $5 million in the second quarter of 2020 compared to LIFO income of $22.5 million in the second quarter of 2019 and $20 million in the first quarter of 2020. Because overall metal pricing levels held up better than we had anticipated in the second quarter of 2020, we have revised our estimated annual LIFO income to $50 million from our prior estimate of $80 million. As a result, we currently expect to record $12.5 million of LIFO income in the third quarter of 2020. At June 30, our LIFO reserve was $112.6 million. Our second quarter same-store non-GAAP SG&A expenses decreased $102.6 million or 19.3% compared to the second quarter of 2019. While certain variable expenses such as plant supplies and freight costs declined as a direct result of our 19.7% reduction in shipments, our most significant reduction was in our average headcount, which was down 16.4% and the 2020 second quarter compared to the 2019 second quarter. Our performance-based compensation structure also contributed meaningfully to lower expenses in the second quarter. As Jim noted, we closed two of our smaller international locations related to commercial aerospace along with certain other minor restructuring activities, which resulted in an impairment restructuring charge of approximately $5.6 million in the second quarter of 2020. We also recorded $4.8 million in non-recurring settlement charges related to the termination of multiple small Frozen Defined Benefit Plan. We remain solidly profitable in the second quarter of 2020 with non-GAAP pre-tax income of $112.4 million and a pre-tax margin of 5.6%, which was well above our expectations heading into the quarter, given the significant uncertainty regarding the potential impact of the COVID-19 pandemic. Our effective income tax rate for the second quarter was 20.9% down from both 25.0% in the second quarter of 2019 and 24.3% in the first quarter of 2020. Our reduced income levels attributable to the impact of COVID-19 drove our lower tax rate. At this time, we estimate our effective tax rate for the full year of 2020 will be approximately 22.4%. Non-GAAP net income attributable to Reliance for the second quarter of 2020 was $88 million, resulting in non-GAAP earnings per diluted share of $1.36. Our GAAP earnings per diluted share were $1.24 in the second quarter of 2020, down from $2.69 in the second quarter of 2019, mainly due to lower pricing and demand levels. Turning to our balance sheet and cash flow, we generated strong cash flow from operations of $475.7 million during the second quarter of 2020 due to our continued profitable operations and effective working capital management that generates counter-cyclical cash flow. In the second quarter, our days sales outstanding increased by only 1 day to 43 days, as cash collection exceeded our expectations amidst the COVID-19 pandemic. However, reduced sales activity lowered our accounts receivable balance, providing cash flow from operations of $136 million. Further, our focus on right-sizing our inventory to match reduced shipping activity produced $150.5 million of cash flow from operations. We appreciate the flexibility of our key supplier partners as we work together through this difficult and rapidly changing business environment. At June 30, 2020, our total debt outstanding was $1.5 billion, resulting in a net debt to total capital ratio of 20.4% compared to 25.4% in the first quarter of 2020. Our net debt to EBITDA multiple was 1.3 times. Our leverage ratios support our investment grade credit rating and are well within our debt covenant requirements. As of the end of the second quarter, we had $1.16 billion available on our $1.5 billion revolving credit facility. We believe we have ample liquidity to continue operating through this challenging environment and remain confident that we could raise additional capital in the credit markets if needed. As Jim explained, despite significant uncertainty in the market, we remain committed to making investments to support the long-term growth and sustainability of our company as well as continuing to provide returns to our stockholders. Our 2020 capital expenditure budget of $190 million includes strategic investments to support our customers' needs and drive organic growth. And we continue to pay our regular quarterly dividend and we'll execute on acquisitions and share repurchases, if and when we believe attractive opportunities exist. Turning to our outlook, given the continued macroeconomic uncertainty stemming from the COVID-19 pandemic, we will not be providing specific earnings per share guidance for the third quarter of 2020 at this time. We would, however, like to share our thoughts on key trends based on our current expectations and market conditions as of today. We expect overall demand in the third quarter of 2020 to improve slightly compared to the second quarter of 2020. We are cautiously optimistic that demand in the non-residential construction market will improve. However, we anticipate this will be offset by continued decline in demand for our aerospace and energy-related end markets, specifically, oil and gas. We also anticipate a further offset in shipping volumes due to normal seasonal customer shutdowns and vacation schedules typical in the third quarter. Although, we expect the rate of decline to be less than in prior years due to lower-than-typical shipment levels in the second quarter. As a result, we estimate that tons sold will be flat to up 2% in the third quarter of 2020. In addition, we expect our tolling volumes to increase meaningfully from the second quarter to support current automotive production rates. This improvement is not reflected in our outlook for tons sold as tolling tons are not included in this metric. We expect metal pricing in the third quarter will remain generally consistent with current levels, given the resiliency of the Reliance business model demonstrated in the second quarter of 2020 and the execution by our managers in the field, we anticipate that our gross profit margin will remain near the high end of our estimated sustainable range of 28% to 30%. While we remain subject to ongoing impacts of COVID-19, we will continue to execute our business model and remain focused on managing those elements of our business that are within our control. In closing, we were very pleased with our second quarter results amid the COVID-19 pandemic, which resulted in significant reductions in demand and an overall softer pricing environment. Excellent execution by our managers in the field, who continued to focus on higher margin business and effective working capital management resulted in yet another quarter of solid profitability and cash flow, enabling us to support our growth and stockholder return priorities. I echo Jim's gratitude to all of our employees in the Reliance family of companies for their ongoing commitment to health, safety and operational excellence, which we believe is the key to the successful execution of our model. Extraordinary environment in the second quarter, highlighted the strength and resiliency of not only our model, but also our people. We look forward to improved conditions in the quarters ahead as we work with our employees, customers, suppliers and communities to mitigate the impact of COVID-19. That concludes our prepared remarks. Thank you for your attention. And at this time, we would like to open the call up to questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Seth Rosenfeld with Exane BNP Paribas. Please proceed with your question.
Seth Rosenfeld: Hi. Thank you very much for taking the question today and congrats on the very strong performance in Q2. If I may, I have a couple of questions with regards to the volume outlook [Indecipherable] market share and also how you view inventories across the space. With regards to market share, can you comment to what extent do you think the Reliance business model actually allowed you to take some of market share during the recent months of market volatility? And looking forward, do you view those as being sustainable or more of temporary factor as some of your competitors were perhaps temporarily knocked out of the market? And then, secondly with regards to the inventory outlook, I believe you did comment in your prepared remarks ongoing efforts to right-size inventories, can you just comment a little bit about where you view your own internal inventory levels? Are they at a level that makes you comfortable versus today's demand environment? Or do you view inventories as being either a bit too low with demand recovering or perhaps a bit bloated as you view a more gradual recovery through the course of H2? Thank you very much.
James Hoffman: Sure. Thanks, Seth. First, on market share, we're not -- we really don't focus on market share. Now, Karla is going to give you some numbers that we have that we get basically from the MSCI. We focus on the bottom line. We care about our employees. We care about the shareholder return and the -- our execution. The market share kind of comes along with that. Now, Karla, you can -- you've got some numbers in front of you to tell you how we're doing against the MSCI.
Karla Lewis: Yes. I mean, Seth, if you look at the Reliance, our Q2 tons sold compared to Q1, we fell 17.5% and the MSCI industry shipments fell 26.5%. As you are aware and as we mentioned in our comments, our tolling tons which a lot of that goes in automotive are not included in those -- in our numbers, but we do believe the MSCI shipments are pretty heavily weighted towards carbon flat-rolled, which was we believe more impacted during the quarter on their shipments and ours. With that being said though, we also believe from feedback from the field that we did pick up some business. In challenging times, we typically see service center customers who want smaller order quantities. They want them delivered more frequently. Maybe they're concerned about their own credit. They want financially stable suppliers supporting them. So, we do believe we did pick up some orders during this type of environment. And we're hopeful that the great service our people provide them will keep those customers coming back.
James Hoffman: And on the inventories; Seth, we -- that's always been a key driver, part of our model. Last year, I said I'm sure that we'd -- I don't think we did a great job on our inventories. So we got a nice head start on getting our inventory in line in the fourth quarter -- third and fourth quarter last year. So we were well-positioned going into this unusual situation we find ourselves. But since then, I'm proud of where we are, where actually our returns are actually better than they there were last year. The folks in the field they get it. They understand cash is king. We do -- we really focus on several things, but that's one of them. Now where we stand right now, we think we're well-positioned, because in my estimation, to get to get America up and going again, they're going to need Reliance and where you need to be there for them. And our relationships with our domestic suppliers are great. Lead times are very manageable. And overall, I'm glad where we are with our inventory. Now, if there is any Reliance folks listening in on the call, I always say we have too much inventory, but we will -- we know where to spend our money, so that's -- we're okay with where we are with our inventory.
Seth Rosenfeld: Thank you. And if I can just ask one follow-up with regards to that. You commented that obviously you were perhaps from a disappointing level of inventory management in 2019 that must have improved your cost -- your cash performance subsequently as you brought them down to a more manageable level, how does that tie into your expectations for working capital as we look into the second half of the year? Would you expect the recent strong cash performance and working capital to continue on a structural basis? Or as demand is beginning to recover, you might see some need for actually some rebuilding of working capital in the latter two quarters?
Karla Lewis: Yes. Seth, this is Karla. As we said -- and last year, we had record cash flow for the 2019 year with the strong earnings we had and then also, as Jim mentioned, our efforts to right-size our inventory in '19 which we felt were successful. We'd continue that especially reacting to the fall-off in shipments with COVID-19. We're in good shape, but we are still focused on our inventory. Certain of our businesses where our outlook is not as strong, we are continuing to focus to work those down, so we would expect some inventory relief from, for instance, aerospace and other parts of our business. To the extent non-res we think will be more favorable. We may need to -- we're okay right now with our expectations where our inventory position is. If demand comes back better than we're currently estimating, we may have to rebuild some working capital and we would love to have to do that, because that would be very positive for all of us. But we do -- typically the second half of the year is a little lighter. We don't expect the same level of cash from operations that we had in the second quarter. But at this time, we would expect to still generate cash with a little working capital release going into the second half with normal seasonal trends.
Seth Rosenfeld: That's perfect. Thank you.
Operator: Thank you. [Operator Instructions] It appears there are no further questions at this time. I would like to turn the floor back to Jim Hoffman.
James Hoffman: All right. Thank you very much.
Operator: I'm sorry, sir. We actually do have a question from Tyler Kenyon with Cowen & Company. Please proceed with your question.
Tyler Kenyon: Good morning, Jim and Karla and Bill, if you're on. Congratulations on the second quarter. Just wanted to ask maybe if you could give us a sense for how your volumes have trended into July on a daily basis versus January and February levels. And maybe if you could kind of speak to the degree of upside maybe you're experiencing in our toll processing volumes?
James Hoffman: Yes. As far as how we're doing now, it's kind of where we expected. Like we said on our script and earnings release, this is fully. We saw a sharp downturn and then May started ramping back up. We were able to manage our way through that, finished the quarter fairly strong compared to the first part of the quarter and then going into where we are right now, we're kind of operating around those same -- around that same level.
Karla Lewis: Yes, I think, Tyler, we're pretty early into July. For the first two weeks on a daily basis, we have seen tons shipped per day come down a bit. However, the first couple of weeks of July typically do that because of the July 4th holiday. It was on a Saturday this year. So we don't really think that what we've seen there is a good indication for the full month or the quarter yet. But we think generally hanging in with the normal holiday impact that we have is what we've seen so far. And on tolling, Bill can hit that.
William Sales: Yes. Hey, Tyler, it's Bill. As Karla mentioned earlier, we've seen a rebound on the tolling side. June was up about 66% compared to January and February.
Karla Lewis: Yes.
William Sales: And then based on the ramp up, we think we'll see that continue to improve in July.
Karla Lewis: Yes, it actually -- the -- so in June, we processed about 66% of what our processing levels were in January…
William Sales: In June, right.
Karla Lewis: And February. So we were down about 34%. So, we were ramp -- remember, we were -- the ramp started in June, so that was for the whole month of June, so we were at a higher level than the 66% coming into July.
William Sales: Yes. And that should continue in July from what we're hearing from our customers.
James Hoffman: And Tyler, as you all know, that sometimes people think our toll processing is only the automotive industry. It's also clients as well.
Tyler Kenyon: Right. Okay, very helpful. Thank you. And then, I was curious if there has been a considerable change just in your value-added processing mix in the second quarter, say, versus the first quarter. And maybe how would you expect that trend moving into the third quarter, given your outlook from various end markets in terms of the trajectory?
James Hoffman: Yes. I mean, we're not ready to give the number yet. We're still working on it. As you know in the past, we've gone from a kind of historic 40% of what we sell up towards over 51%. I expect that to go up. I can't give you the number right now because they haven't given it to me yet. But with our game plan and our model and what we've been doing over the last several years, it should go up. We've spent a lot of money to do all of these different activities and processes that our customers have asked us to do. We spent our money wisely, timed it very nicely. Obviously, nobody saw this coming, but our -- the history has been after a dramatic downturn, you pick the year, but after that happens, our customers have come out of it, they come out of it quickly. And they during -- when they're in the doldrums, they don't spend money and they have a hard time getting people to -- the right people to be at work and they downsize and when they come out, they need somebody. They need Reliance to be there for them. And we've spent our money to do that. We've invested money in the new technology is fascinating to me. We continue to do that. And that helps with our SG&A line as well. Because the equipment we've added, it also allows us to do it more efficiently with less people. So saying all that, I would expect that number to continue to go up. That's the plan anyway.
Tyler Kenyon: Great. Okay. And that's actually a good segue to another question I had. Just on SG&A progression moving into the third quarter. Should that track your expectations on the -- in terms of the top line trajectory for volume guidance, or would you expect a bit more upside, given you brought back some of the furloughed workforce on the toll processing side? And if you're expecting some stronger value added mix?
James Hoffman: That's an interesting question. I can tell you this. We run our company day-to-day, week-to-week, month-to-month. Always have, always will. The way our SG&A line goes, it has everything to do with the activity. As we said, 65% of our SG&A costs are in people. We now had to ramp up and ramp down the other one when we need to. And we'll just have to see how it goes. We are anticipating a little -- some sluggish activity, if you will, in aerospace and we'll continue to monitor that and operate accordingly. When business starts coming back up, we'll ramp up according to that as well. That's just part of our DNA. That's the way we operate our businesses. And what was the second part of your question? More value add -- was it, I forgot what you asked.
Tyler Kenyon: Yes, just the more value-added…
James Hoffman: Yes. Well, Yes, I think addressed that. But of course -- That's what America needs. It needs Reliance to be there when they rebuild this thing and the value-added processing that we do will be part of that rebuilding.
Karla Lewis: And Tyler, I would say we're not anticipating the level of workforce reduction activity in Q3 that we had in Q2 based on our shipment and demand outlook, based on where we are today. So there were some extra costs in Q2, some severance carrying benefits, which we extended to some of the employees that were laid off and also to the reductions in force. So we will not have those extra costs in Q3 or at least not to the same extent as in Q2. So that would bring SG&A down a bit. However, with activity levels back up in particular where you commented on the tolling and the fact that we brought most of those employees back to work, you will see SG&A increase because of that, but we will also have that more than covered by our gross profit that we generate on this tolling tons.
Tyler Kenyon: Got it. Thanks very much.
James Hoffman: Thanks, Tyler.
William Sales: Thank you.
Operator: Our next question comes from the line of Phil Gibbs with Keybanc Capital Markets. Please proceed with your question.
Phil Gibbs: Hey, good morning.
James Hoffman: Good morning.
Phil Gibbs: A question just generally speaking on the non-residential construction market, I know that market is very key to you all. Curious in terms of how you saw the quarter progress, we're still low points. And also where we are now in terms of what you see. I mean a lot of mixed things in terms of public staying strong, but perhaps new projects on the private side, people taking a pause due to the issues obviously we all know of.
James Hoffman: Yes, Phil, you know our company very well. Our sweet spot is in these smaller projects that are four stories and below. And what's -- to answer your question how it went early on when the COVID hit, it kind of froze the market and froze a lot of projects. We didn't have a lot of cancellations though. We had a lot of people just deferring to later date. Thank goodness that they cranked back up, which is good. We are there for them. And the value added play in that market is a really strong one for us. So that was good. The hot markets, right now, is I'm sure at your home too, my wife has no problem spending money online and Amazon guy shows up at our doors seems like every day. So that was distribution centers that are out there are -- that's a good market for us. And there is plenty of those out there in the middle of being built and plenty on the books. And we are a strong participant there. As I've said in the past, our sweet spot -- the demographics help our sweet spot. Assisted-living facilities, schools, data centers, those are all strong markets for us and those have been carrying weight for us. And I just anticipate that to continue to go. I know that I have listened, but have heard on -- heard some other of our good steel partners out there have reported that they're doing well in the non-resident and we can -- we'll follow that, which is good for us. And also there is some -- as we mentioned, there is some infrastructure type spend that we put in on non-residential, for instance, bridges and what have you. Again, I've said in the past, girl fashion real, infrastructure spend bill would be a good thing for the country and a really good thing for Reliance. So we were cautiously optimistic about our -- the trend there.
Phil Gibbs: Thanks. And Bill, on the semi side, what's the vibes out there? I know it's been good and -- but it also can be very erratic per your own historical observations.
William Sales: Yes. It can start and stop quickly. But as we mentioned, it's been a bright spot for us. And we -- the outlook for the balance of the year is still very positive. So we think that market is going to continue to be a good one for us.
Phil Gibbs: [Indiscernible] for Bill, I know you all mentioned that you took a couple of facilities out in what it sound -- what sounded like Europe for the aerospace side.
William Sales: Yes.
Phil Gibbs: How are you all I guess planning for the next year or two or three based on what the indications you're getting from the mills and the OEMs at this point?
William Sales: Yes. Well, as Jim said earlier, we kind of run our business day-to-day, week-to-week, month-to-month. But that whole aerospace, particularly commercial aerospace is a very fluid situation. Our guys have done a great job of looking at where the demand level is, where we think it's going to be, and really attacking both the expense side and inventory. But it's going to be a challenge. We know it's going to be a challenge for the balance of the year and in probably the next year. And we're really just trying to stay abreast of where the market is headed, where the demand is going to be, and make those adjustments as we need to. Yes, the other part of is that [indiscernible]. Yes, the other part -- the other part of that is the bright spot in our aerospace business is the military and defense side. And so that we continue to see strength there and we think the second half there, we're going to continue to see strength. So that's the good news. So that will partially offset some of what we're going to see from a negative standpoint on the commercial aerospace side.
Phil Gibbs: Just sticking to that, just, Jim, out of curiosity, what's been the company policy in terms of business travel given everything that's been going on now?
James Hoffman: Yes, we had zero business travel for -- oh gosh, I think we lifted the business travel July 1. But that's pretty strict. It has to go way up the food chain to get that approved. And --
William Sales: Well, all domestic only.
James Hoffman: Yes, there we are. There is no international travel at all. And we have the technology today. We've gone pretty good at it. So you really -- we really don't need that. But when needed, we'll -- we've approved a couple of trips that actually need somebody to be on-site to help a customer out or to help somebody through a situation. But basically, it's not wide open, I can tell you that. And as far as the local driving type travel, once again it's on an as-needed basis. We've got a lot of really strict rules and regulations about coming and going in our operations. I'm real proud of the fact that we jumped on that very quickly. We're using technology to help us with that. We're following a lot of CDC rules, but we also have stricter rules to keep our people safe and healthy. And just in general, we're all very aware of what's going on out there and will continue to be extremely diligent when it comes to keeping our folks and our communities as safe as possible.
Phil Gibbs: Okay. Good job managing through some weird times. Appreciate it.
James Hoffman: Thank you.
William Sales: Thank you.
James Hoffman: We got a good model and good execution out there.
Operator: Thank you. [Operator Instructions] It appears there are no further questions at this time. I would like to turn the floor back to Jim Hoffman for closing comments.
James Hoffman: All right. Hey, thank you very much for your time today and attention. Before I conclude, I'd like to remind you all that on August 5 we plan to present at the Jefferies Industrial Conference, which will be held virtually and will be webcast live over the Internet. Thanks again for your continued support and commitment to Reliance, and I hope you all stay safe and healthy. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.